Operator: Good day, ladies and gentlemen, and welcome to CF Industries Full Year and Fourth Quarter 2024 Conference Call. All participants are in a listen-only mode. [Operator Instructions] We will facilitate a question-and-answer session towards the end of the presentation. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the presentation over to the host for today, Mr. Martin Jarosick with CF Investor Relations. Sir, please proceed.
Martin Jarosick: Good morning, and thanks for joining the CF Industries earnings conference call. With me today are Tony Will, President and CEO; Chris Bohn, Executive Vice President and Chief Operating Officer; Bert Frost, Executive Vice President of Sales, Market Development and Supply Chain; and Greg Cameron, Executive Vice President and Chief Financial Officer. CF Industries reported its results for the full year and fourth quarter of 2024 yesterday afternoon. On this call, we'll review the results, discuss our outlook and then host a question-and-answer session. Statements made on this call and in the presentation on our website that are not historical facts are forward-looking statements. These statements are not guarantees of future performance and involve risks, uncertainties and assumptions that are difficult to predict. Therefore, actual outcomes and results may differ materially from what is expressed or implied in these statements. More detailed information about factors that may affect our performance may be found in our filings with the SEC, which are available on our website. Also, you'll find reconciliations between GAAP and non-GAAP measures in the press release and presentation posted on our website. Now, let me introduce Tony Will.
Tony Will: Thanks, Martin, and good morning, everyone. Yesterday afternoon, we posted results for the fourth quarter of 2024, in which generated adjusted EBITDA of $562 million. Adjusted EBITDA for the full year was $2.3 billion. This strong performance enabled us to return $1.9 billion to our shareholders through dividends and share repurchases in 2024, which is our highest level of capital return in more than a decade. The CF team is operating at a high level, advancing our strategic initiatives and most importantly, working safely. Given our fully engaged employees, our low-cost manufacturing system with the highest onstream factors in the industry. Our expansive distribution and logistics network and very constructive nitrogen industry fundamentals. We are well-positioned to continue our track record of generating superior free cash flow that enables the company to both grow and return substantial capital to shareholders. With that, I'll turn it over to Chris to provide more details on our operating results and the status of key initiatives. Chris?
Chris Bohn: Thanks, Tony. Our production network operated extremely well through year-end. We produced over 2.6 million tons of gross ammonia in the fourth quarter, which reflects 100% ammonia utilization rate. We finished the year with 9.8 million tons of gross ammonia production. Our manufacturing network has continued to operate well to start 2025 and did not experience any significant disruptions from recent winter weather events. We expect to produce approximately 10 million tons of gross ammonia in 2025. We are making good progress on our key strategic initiatives. The completion of our carbon capture and sequestration project at our Donaldsonville complex is in sight. Commissioning activities for the carbon dioxide dehydration and compression unit have begun alongside final construction activities. We expect start-up of carbon sequestration and 45Q tax credit generation this year. Our evaluation of a greenfield low-carbon ammonia plant at our Blue Point complex in Louisiana is also nearing completion. As Greg will detail shortly, we completed the FEED study for an auto thermal reforming ammonia plant, marking a major milestone towards this strategic initiative. We continue to assess project in light of our outlook for the global nitrogen supply demand balance, customer requirements for carbon intensity and the regulatory environment. We are working to complete the partnership structure. We expect that our ownership of the project will range from 40% to 75% depending on the number of equity partners at the outset. If we were to make a positive final investment decision at a 75% ownership level, we believe we would have the option to sell down that level if we chose to give an ongoing discussions with other potential partners. We continue to target the first quarter of 2025 for final investment decision. With that, let me turn it over to Bert to discuss the global nitrogen market.
Bert Frost: Thanks, Chris. CF Industries had a positive fourth quarter of 2024 that is carried over into 2025. We had a very strong fall ammonia application season and have built a strong order book for all products as retailers and wholesalers layer in product tons for what they believe will be a good spring application season. We ended the year at lower than average inventory levels in our network, and believe the North American channel is at low levels as well due to lower-than-normal imports into North America. As we move to the fourth quarter, global nitrogen market participants began to appreciate how much the global supply-demand balance has tightened. Nowhere was this more evident than India's inability to secure the volumes they targeted for the last two urea tenders. Given the high urea consumption in the country and lower-than-targeted production, we expect India issue another tender later in the first quarter just as the Northern Hemisphere demand ramps up for spring, demand that we expect to be very strong. World corn stocks and world's corn stocks-to-use ratios, excluding China, are at a 13- and 30-year low, respectively. Given the need to replenish global corn stocks and a corn to soybean ratio favorable to corn, we expect robust planted corn acres and strong nitrogen demand in the United States 2025. Longer-term, we expect the global nitrogen supply-demand balance to tighten through the end of the decade. Capital availability, long-term feedstocks and costs and global events have limited the number of new projects. As a result, projected new capacity growth is not keeping pace with demand growth for traditional fertilizer and industrial applications. We believe demand for low-carbon ammonia for low -- for new applications, such as power generation, would only further tighten the global supply-demand balance. With that, Greg will cover our financial performance.
Greg Cameron: Thanks, Bert. For the full year 2024, the company reported net earnings attributable to common stockholders of approximately $1.2 billion, or $6.74 per diluted share. EBITDA and adjusted EBITDA were both approximately $2.3 billion. For the fourth quarter of 2024, the company reported net earnings attributable to common stockholders of approximately $328 million, or $1.89 per diluted share. EBITDA was $582 million, and adjusted EBITDA was $562 million. Net cash from operations was $2.3 billion, and free cash flow was approximately $1.45 billion. We continue to be efficient converters of EBITDA to free cash flow. Our cash flow to adjusted EBITDA conversion rate for the year was 63%, which far exceeds our peers, as you can see on Slide 5. We returned approximately $1.9 billion to shareholders in 2024. This included $364 million in dividend payments and over $1.5 billion in share repurchases. For the year, we repurchased 18.8 million shares, representing 10% of the outstanding shares at the beginning of 2024. Entering 2025, we had a little over $1 billion remaining on our current share repurchase authorization, which we intend to complete before its expiration in December. Based on market capitalization at the start of the year, we have the capacity to repurchase approximately 7% of our outstanding shares through the end of 2025. As Chris mentioned, we completed the FEED study for a 1.4 million metric tons per year ATR ammonia plant with carbon capture and sequestration technologies. The study estimates that the cost of a project with these attributes would be approximately $4 billion, which will be divided among the equity partners. At this level of capital investment with the incentives of carbon capture, and an ammonia price of $450 per metric tonne, we'd expect to earn a return above our cost of capital. There is an additional $500 million required for scalable common infrastructure, which would be CF Industries sole responsibility and can be leveraged for future growth at the Blue Point complex. Should we move forward, we'd expect the common infrastructure would also earn a rate of return above our cost of capital due to the payments from the ammonia plant owners for the use of the facilities. With that, Tony will provide some closing remarks before we open up the call to Q&A.
Tony Will: Thanks, Greg. Before move on to your questions, I want to thank everyone at CF Industries for their contributions in the fourth quarter and for the full year. As a company, we have a lot to look forward to in 2025. From constructive global nitrogen industry dynamics to the start-up of our first CCS project and a final investment decision on our Blue Point complex. We're excited for what's ahead. Investing in our business to increase cash generation, while dramatically reducing our share count has served our shareholders well. As you can see on Slide 8, in the last decade, since most of this team has been together running CS, we have increased production capacity by almost 20%, while reducing our shares outstanding by almost 30%. What this drives is clearly shown on Slide 5 of our deck, and we have boxed the most relevant data. And this is how we run our business to generate more free cash flow while reducing our share count. It is exactly this ratio that demonstrates the superiority of our business model. In the very near-term, in this year of 2025, we have a couple of initiatives that we'll continue to build on this track record. The 45Q tax credit is expected to begin this year as we sequester CO2 from Donaldsonville. We will also complete our share repurchase authorization, which, as Greg mentioned, should take out another roughly 7% of our outstanding shares pro forma. Over the longer term, we expect investments in our network and low-carbon ammonia production capacity will provide a robust growth platform for the company, add to our cash generation and continue to drive that all-important golden ratio shown on Slide 5, creating substantial value for our long-term shareholders. With that, operator, we will now open the call to your questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Joel Jackson with BMO Capital Markets. Please go ahead.
Joel Jackson: Hi. Good morning. I wanted to ask you about your hedging. You talked about in the past couple of quarters that maybe you weren't layering on as many strips or hedging as you had this past, looks like you quite well in Q4 to get ahead of the higher gas prices. We've now seen, of course, US gas prices surge. Talk about how open you are what your GAAP or like for Q1, Q2 for the rest of the year? And what we're seeing, the more volatility, Tony and team, is this making you rethink your DAS hedging strategy going forward? Thanks.
Bert Frost: Hey, good morning. Joel, this is Bert. And how we look at gas is how we look at the dynamic nature of our business, and it's just one reflection of that. In terms of how we manage margin, how we manage costs, how we manage CapEx, Gas is a substantial cost for us, and we look at it holistically. And so we have been much more in the cash market in 2024. We do hedge front month for our gas contracts, but we've been much more opportunistic in 2024, believing in the resource base that exists in North America for our system. How we're looking at 2025 is we've approached it very similarly where we were and have been hedging front month for our commitments and then just for the weather volatility of January and February as well. And we anticipate that the gas team will continue to perform very well and position CF in a great place.
Tony Will: And Joel, relative to the second half of your question, I would just say we operate the vast, vast majority of our production capacity in the best place on earth to operate it, which is North America with some of the largest resource, most dependable production and quickest to respond. And so while we'll continue to evolve our thinking around hedging and Burton and team continue to do that actively. I think that the most important thing is where we built our plans.
Joel Jackson: And then if I can ask a second question. An observation I had last night, and I'd like you to maybe comment on it is you gave -- and I appreciated a new sensitivity table you do every year around now based on 2024 numbers, where you show what your EBITDA level is in a grid for different gas price realizations and different urea price realization. It looks like when you look at the 2024 table versus 2023 table on a similar volume around 90 million tons at any given cell in that grid to any combination of urea and gas prices, you're pointing to EBITDA being maybe $200 million or $300 million lower. Can you talk about what that means, if it means anything?
Tony Will: Yes. So let me just describe how that grid is put together. And it is not meant to be strictly speaking, instructive about what the future holds. It's based on last year's actual product price differentials between ammonia and urea, UAN, ammonium nitrate and the rest of the products and how they fit in there. And so to the extent that in any given year, you see the differential between urea and say, UAN move one direction or the other, that's going to change how that grid is created because there's more or less value than across the system based on selling one ton of urea. So it's purely a heuristic, it's just a way to sanity check the numbers. It's not a pinpoint estimate of where we're at. To do that, you'd really have to get into the details of where gas is really moving across the network, not just in the aggregate because, of course, we're consuming vast majority of our gas and the combination of Henry Hub and AECO. And so what the other ones with the other pricing points, trade out matters, but it's very specific to the year movements and the product movements. And so you have to get a little more granular, but at the very high level, that gives you directional information of where it is. And that's why it tends to move one year to the next. It's strictly based on the previous year's differentials.
Chris Bohn: Yeah, Joel, this is Chris. The other thing I would add, Tony talked about the price and basically the relationship between each of the products. But additionally, since we are using a look back to 2024, our cost structure is also the 2024 cost structure. And if you recall, in Q1, we had pretty heavy maintenance events where at one point, 15 of the 17 ammonia plants needed maintenance, and that was about $100 million to $150 million. So as Tony said, it's really indicative of what you could see for the year, but it is based off of empirical data rather than what we expect for the go forward.
Joel Jackson: Thank you.
Operator: The next question comes from Chris Parkinson with Wolfe Research. Please go ahead.
Unidentified Analyst: Hey guys, good morning. It's actually Andrew [ph] sitting in for Chris. How should -- the Street think about 2025 cash conversion and the balance of uses between buybacks and then future CapEx, and then on top of that, would you be able to talk about the potential for long-term offtakes in conjunction with any BluePoint FID. And how does that fit into the picture here as well?
Greg Cameron: Yeah. Andrew, thanks for the question. It's Greg. I'll start and pass it over to Chris. On the capital allocation for the year, we've outlined where our CapEx is expected be over $500 million of our normal run. That would, obviously, change if we went to a positive FID and we'd update you on those numbers when we made that decision. On the capital allocation, we came into the year with $1.6 billion of share repurchase that we expect to expect to get done by the end of the year. And those would be our primary uses of cash. Don't expect any change in difference on our EBITDA conversion rate. We still expect to be above our peer group on our ability to convert that EBITDA free cash flow. So no change in that at all. But we'll update you on the CapEx number when and if we make a positive FID and we've already laid out the share repurchase we expect to do for the year.
Chris Bohn: Yeah, Andrew. And in relation to long-term supply offtake related to the BluePoint project, I think a lot of that's going to be dependent on where we end up from a partnership equity share piece. If we're at the 75% that CF has as we go through, as I mentioned, we are having discussions with other global partners who are interested in this particular facility with an offtake agreement that would happen there. But if we go with the 40% where we have the Mitsui JERA and CF themselves. A large portion of our product, given that we purchased ammonia already for the U.K. could find its way going to the U.K. and that that incremental amount that we would have for a long-term offtake contract would probably be smaller. So a lot of it's going to be dependent on what is the final ownership structure that we'll know here in the next couple of weeks.
Tony Will: But I would say, back to Chris' point, there's a lot of interest out there. And I think what you've seen is a bunch of these kind of people waiting in or making initial announcements and then getting cold sheet backing of has led a bit of pent-up demand out there. And so if we ultimately do go forward with a positive FID decision here, I would expect there to be more than adequate demand for the production that's that we have left.
Operator: The next question comes from Richard Garchitorena with Wells Fargo. Please go ahead.
Richard Garchitorena : Great. Thanks for taking my question. Just to follow-up on the Blue Point. Obviously, FEED study completed negotiating with the partners, still nothing determined yet. But I mean it sounds that basically the outlook from a demand and market perspective, you've found to be, I guess, positive for the project. So I guess in terms of final decision, how much does the potential for 45Q to be changed. I don't have any impact at all? Is it really just a function of marking down where you want to stay in terms of your equity stake whether it's 40% to 75%. And then in terms of just all the final decisions with the partners getting ratified?
Tony Will: Yes. I mean, I think the big issue there -- obviously, the 45Q is a benefit to the project and the required ammonia price to earn above cost of capital return would go up if we didn't have the 45Q. But there's nothing really that we're seeing on our end when our government folks talk to people in Washington that indicates to us that the 45Q is in jeopardy. I think if you were banking on an EV subsidy or credit, then you'd have to think twice about it. I the 45Z and 45V potentially have a little more risk, but there's really been no news from our perspective that jeopardizes the 45Q. So we're pretty confident that, that's going to stay in place and we're making plans accordingly. But there's a lot of moving pieces out there, and there's a lot of policy things that are uncertain at the moment. Of all the policy issues, I think that one we feel probably the most certain of. And I do think what is kind not delaying, but the process that we're going through is really dotting eyes and crossing teas on all of the subsidiary contracts that go along with being able to actually build and move the thing forward. It's not so much with the partnership structure themselves because we feel really good about that. It's just kind of getting all of the other EPC kind of stuff done.
Operator: The next question comes from Lucas Beaumont with UBS. Please go ahead.
Lucas Beaumont: Good morning. So I just want to continue on the Blue Point project. So depending on what you guys kind of come in there on that equity range, if you guy ahead it could be quite -- it's a pretty wide range from sort of $2 billion up to maybe $3.5 billion or so. I think what we previously sort of discussed the outlook there, it was assumed it would probably get built over the four years in the capital commitments more sort of back half weighted. So, just given the kind of the range you're putting out there now, I was just wondering how you'd look to kind of fund that? Would you sort of add some more debt in there to do that? I mean, it looks like potentially depending where sort of market prices are, you could do it out of cash flow if you sort of didn't have any repurchases anymore, but just wanted to kind of get your latest thoughts on sort of how that progress?
Greg Cameron: Yes. Thanks for the question, Luc. It's Greg. So, when we look forward and look at the commitment, you're right, it's going to be determined by the size of the equity we have commitment and where that ultimately ends up. If you looked at it at the 40% and you thought about it over four years, and even including the common facilities, it's roughly about $500 million that we would need to create in addition. Given where we are on a free cash flow basis and the investments that we tend to make within our network on a year-to-year basis, including the growth CapEx that we put in it's not dramatically larger. It's obviously larger, but not dramatically larger. So as we think about where we are from a capital standpoint, we've got $3 billion of debt. We've obviously got some of that coming due next year that we'll have to look into. But there's a bunch of options as we think about how we would fund it, first, starting with the cash that we have on the balance sheet and go to cash from operations. And to the extent we would want to think about building some more security, there's a number of instruments we could look at to pull in, and we're in the process of evaluating that all right now.
Tony Will: I mean I think if you just look at last year, we generated $1.4 billion of free cash. And we're going to spend $1 billion as Greg said on or a little over on share repo. That still leaves a big chunk to be able to deploy against the other uses of cash, and we ended the year with over $1.6 billion of cash on the balance sheet. So, our uses of cash this year, even though we're going to buy $1 billion of shares back out of the market is not going to dip very hard into our cash on the balance sheet and during this period of time. we have indications that the pricing environment today is stronger than it was a year ago. And so that portends very well for cash gen in 2025 versus 2024. So, I think all of that is a way of saying we think the business model is kind of hitting really well, and it gives us a lot of flexibility in terms of how we think about financing a potential project should we go forward.
Operator: The next question comes from Andrew Wong with RBC Capital Markets. Please go ahead.
Andrew Wong: Hey good morning. Thanks for taking my questions. So, long-term focus for CF has been on increasing nitrogen production or participation per share over time, which has gone up pretty significantly. When you look at Blue Point, given the increase in CapEx, while the shares are roughly flat year-over-year right now, like how would you compare the project versus potentially using that cash for more of buybacks in terms of raising that nitrogen per share metric? And how does that factor into your decision on Blue Point.
Tony Will: Yes. I mean, Andrew, I think throughout our this management team's time together, you could have made that comment about anything that's gone on, whether it was the acquisition of Terra back in 2009, 2010, whether it was the construction of our capacity expansion projects back in the 2012 to 2016 time frame, the acquisition of the one-third of Medicine Hat that we didn't own or the 15% of the Verdigris plant that was traded as an MLP. I mean, any of those things you could have made that same argument for and yet look at the share growth in terms of value we've created over that period time. And so I think the general strategy and philosophy of if we can deploy capital in our core business and earn above the cost of capital rate of return. And then for capital that is in excess of that, we take down share count. That is a winning formula. And if you look at our one, three, five, seven, 10 year TSR against all of our competitive set, we blow them out of the water. So it's just -- it's a winning formula. If we can stick on it and be very focused to deploy capital in things that we do better than anyone else, which is running ammonia plants. We're going to perform better over the long run, and that's how we're focused on running this company.
Andrew Wong: Okay. Great. And maybe just one more on Blue Point. The commentary in the past would highlight how the project can make a good. Even now till we can make a good risk-adjusted return even without an off-take or some sort of blue ammonia premium. And I understand you're looking at that and you're still thinking that, that's going to be the case. But CapEx has gone up quite significantly from the beginning of when we started seeing some of the numbers like last year, like -- what's changed on that return profile, so that's still the case.
Tony Will: Well, I mean, it's really based on where ammonia pricing is in the market. And as Greg mentioned earlier, the -- what we need is an ammonia price of 4.50 per met, so call it 4.10 per short. And the average selling price we had in last year was above that. And so where the market is right now would support a project with and above the cost of capital rate of return. And we expect, as Chris mentioned, the market to tighten rather than get slack. And so there's a lot about just the industry fundamentals that we feel we're in the best place to really be able to exploit, again, given our operating history with these kind of assets. The other thing I would say is Bert has done a great job of being out there working with customers on the low carbon intensity or Blue product coming out of Donaldsonville that we're going to be generating here later this year. And he is seeing an ability for the market to pay a premium on that. So that's before we even get into the premium, we're just saying we can -- this project is an interesting investment for us before the premium.
Chris Bohn: The other thing I would add, this is Chris, is that when we were looking at some of those CapEx numbers about a year ago, those CapEx were based on SMR technology, so existing what we have in our plants. The ATR technology will give us two different things; one, about 10% more in production, even just that nameplate than what we're producing on our other units. And then also 50% greater carbon capture with the 45Q that allows a significant benefit there. So with those two additional pieces put in, I would say, if you've been falling CF long enough, you would understand that we're a pretty conservative company and we model things straight. So we haven't taken into account increased utilization rates, which we've been able to perform on not only assets we built, but assets we've acquired. Additionally, if there is any low carbon premium that Tony announced or it suggested there. And then lastly would be anything related to the CBAM that would give us a bit of a fast mover advantage where we'd see additional margin. And then lastly, I'd just add this new technology and what we'd be doing is why we have the partners we have. It's fostering new demand that just makes that balance that we believe is tight enough just with conventional ammonia all the tighter by the time this particular plant comes online.
Andrew Wong: Okay. Thank you. Very helpful.
Operator: The next question comes from Kristen Owen with Oppenheimer. Please go ahead.
Kristen Owen: Hi, good morning. Thank you for taking the question. I wanted to ask a little bit more on some of the fundamentals for 2025. Specifically, your expectation of things really remaining quite tight. The cost curve has changed or at least been fairly volatile over the last several weeks. I'm just wondering, can you speak to what your expectations are in terms of the cost curve now with a potential resolution between US and Ukraine on the table? And then I have follow-up question.
Bert Frost: Yeah, good morning. This is Bert. And we do see the fundamentals. They have improved and they are improving. When you look at what has transpired globally, you do have a tight nitrogen balance. And that's driven by very healthy demand in India and Brazil and a lot of secondary countries like secondary in terms of demand of urea. Australia, Argentina, South Africa, Thailand, Turkey had pulled more in 2024 than they have historically. And then you look at the tight corn balance that we've talked about for stock to use ratios whether that's domestic or globally and where we are, it's very comparison to 2012 or 2013, where we saw a very nice rally in the price of corn, that's driving acres and additional acres to corn. And I would have said a couple of months ago, we would have expected 90 million, 91 million acres of corn. And today, we've talked about 93 million, but I would say that's to the positive. And every one million acres that comes in is just additional nitrogen demand that has to be satisfied. And to date, we're behind in North America, we're behind on imports of urea or UAN, and we're very close to the beginning spring application season that could begin as early as March, and so that product has to be put into position for supply. So tight North America, tight globally and the fundamentals of where we are with gas in Europe. Europe production is down or some of it, 20% to 30% of it is. And so you have a tight demand market for the products that use nitrogen being corn, you have a tight supply market with product needed in a number of places, and if there's an India tender in the next couple of weeks, it gets even tighter. And so relative to the cost curve then, we're at $3 to $4 gas in North America and the world for LNG or JKM-TTF being Japan and Europe are at $14 to $15. So your cost curve, you need to bid in very expensive tons to satisfy this global demand that's coming. And your last question about Russia and Ukraine, I would say, it really doesn't matter right now. Those Russian tons have been making them out throughout the last couple of years even with sanctions.
Tony Will: And I would just say, we certainly all hope for a resolution to the conflict and ending the suffering and damage going on over there. To Bert's point, all of the Russian production is making its way out into the global marketplace. So that doesn't change. And our expectation is it would take quite some time to get additional production, whether that be Eastern Europe or Western Europe or even Ukraine kind of back up and running, and it's going to miss the first half of the application season in the Northern Hemisphere anyway. And so from our perspective, the first half, while I wouldn't call it baked yet is looking very positive based on the factors that Bert just highlighted there. But we're certainly all hoping for peaceful resolution to that and other conflicts going on.
Kristen Owen: Thanks for that color. One follow-up question related to your own production. You did call out some of the maintenance costs last year, some of the shutdown time that you experienced in Q1. Just anything we should be thinking about here in the first quarter in some of the earlier ice storms across Southeast and how that will compare or influence your ton-ton to outlook?
Chris Bohn: Yes. So as I mentioned in the prepared remarks, through Q1, so far, the manufacturing operations have been operating just as well as they were in Q4, even with some of the significant weather events, some of that's from the learnings that we had last year. And just the team is doing an outstanding job at the particular sites. So the 10 million-ton gross ammonia number, which is higher than the 9.8 million we did this year is still our expectation for full year 2025.
Kristen Owen: Thank you.
Operator: The next question comes from Stephen Byrne with Bank of America Securities. Please go ahead.
Stephen Byrne: Yes. Thank you. Bert, I'd like to hear your view on your order book through the rest of the first quarter and what that order book looks like for the second quarter? How would you compare it to historical levels as of mid-February? And does this reflect your views for being -- the U.S. being behind on imports?
Bert Frost: Yes. Thanks for the question, Steve. And we're pleased with our order book. I think the team has done a great job of watching participating and layering in. Normally, in this time of year, we try to be -- I'd say most periods were one to two months sold or with orders on the books. I think this year has been a little bit different because of the positive anticipation that we saw with -- relative to the last question on a tight market and some dynamics globally that are taking place. And we positioned ourselves well and have been capturing as the market has escalated. What you've seen over the last eight weeks has been pretty amazing. We've seen $100 rally in urea at NOLA from about $320 to $420, which is since doled out. But we believe that you're going to see additional demand. We're behind on imports, as I said earlier, and we believe you need to bring in 700,000 to 800,000 tons per month, March, April, May to satisfy demand as well as domestic production to remain fully operating. And so as we look to Q2, we've got a lot of open orders to satisfy, and we'll be executing that into the market. And as Chris said earlier, our plans are operating at 100% and we're positioning product now for that eventual demand. So that gives you the Q1, Q2 outlook.
Stephen Byrne: Very good. Thank you. And I just wanted to follow-up a little bit on the brownfield project, a diesel for the blue ammonia. Do you have any -- any idea when that actually could start up. I'm not sure whether you're still in installation or whether you are in commissioning mode, but do you have a better idea when that might start? And perhaps more importantly, do you have an order book for that blue ammonia that you could be selling some time this year? And does it not make some sense to wait for that to be on stream and to see what demand really looks like when you have that product available before you commit to FID on the greenfield project.
Tony Will: I think, there's a bunch of questions in there. We'll start off with how the dehydration compression plant coming, when you go on and then what's the what's the premium or demand profile look like. And then I'll finish up with the answer to -- to the last one. But
Chris Bohn: Steve, this is Chris. So we're continuing. We are not in commissioning yet, so we're still in installation, but our expectation is that we will finish that here in the second quarter. And what we're looking at is that we're being commissioning and ready begin sequestering it really second quarter, first half -- second half of the year here as we look at that we continue to work with Exxon as they're evaluating different areas for their Class 6 permit that they have in there, given the flexibility they have with the Denbury pipeline. So all that continues to move well. And so I would say our estimation is by second half of this year, we'll have low carbon product that we can feed to Bert his team.
Bert Frost: And regarding the premium, we've been actively discussing marketing and preparing for that, whether that be ammonia or an upgraded product. And I think the first mover, it looks to be industrial where we have a number of participants or customers desiring to have low carbon products in their system. And then we're working, obviously, agriculturally with our co-op and retail customers to market a whole package to the farming community of how that can benefit their system and their carbon scores. And so yes, I do believe there will be a premium. And yes, that product is coming for the back half of the year.
Tony Will: And finally, Steve, because of the success Bird has had and the level of interest that he's had, we don't need to wait until we're producing it. We've already got registration of interest from more parties than we have tons to be able to sell at this point. And again, let me just remind you of the kind of the math on the new project. So, if it's 1.4 million tons, and we get a 50% share, just say, as a as a number. We're looking at 700,000 Chris mentioned, we're going to consume 350,000 tons of that in our upgrade at plants in the U.K. So, we'll have low-carbon AN product in the U.K. with access to the European market. that only leaves us 300,000, 350,000 tons left to go in terms of places to sell it, and we have more than enough interest to be able to move that because we've already got expressions of interest that can consume the full 2 million tons coming out of Deville.
Stephen Byrne: Thank you.
Operator: The next question comes from Vincent Andrews with Morgan Stanley. Please go ahead.
Vincent Andrews: Thank you and good morning everyone. Just on Blue Point, if I could ask you, Tony, the $4 billion and the $500 million, I assume that's the standard midpoint of -- there's plus or minus 15% on that? Or is there something different about this? And is there any part of that, that you think you can really lock in, whether it's labor, equipment, what have you to really sort of ring-fence the risk around that estimate moving too far in the wrong direction?
Tony Will: Yes, Vincent, thanks for the question. This is a little bit different than the midpoint of the estimate. We sort of learned our lesson last time when we began this -- the projects back in 2012, which was more or less the midpoint. And then we saw escalation happen and it was a painful process to have to get out there on conference calls and talk about both delays and overruns. So, I would call this a number that we're putting forward to the marketplace that we feel highly confident in our ability to achieve and there's quite a bit of contingency baked into that. So, if you just think about the $4 billion for the plant itself, we are taking a different approach. The previous projects were what I would call stick construction where everything was individually built. And in this approach, we're doing more modular construction where large sections of the plant will be constructed overseas shipped here, and then they're basically positioned and put together. Because of that, we can take almost $2 billion of the production and have it be lump-sum fixed in terms of these module construction. So the amount of kind of potential open to overrun is dramatically reduced in this instance relative to the way we approach these in the past. And then there's other sections whether it's the ammonia storage tanks or the docs or a variety of other things that we can convert into fixed fee kind of arrangements as well. So, there's much less, I would call at risk in that quote, which is why we're highly confident we can deliver the project.
Chris Bohn: And the only thing I would add to that is, on those last projects, what really caused the cost overrun was the labor expense. And as Tony mentioned, with process modules, a lot of that labor percentage is going to be significantly lower than what we've seen in the past. So for instance, on those particular projects, we may have had 5,000 contractors on site at one point. In this particular one, maybe at peak, we had had 1,500 because so much of it would already be modularized, and that we feel comfortable within that contingency. The other part I would say that is probably one of the primary differences just beyond the experience the team has with doing the last projects is, we did a complete FEED study this time. We've been analyzing this for over two years, what would be the best technology, understanding exactly how we would go about doing this. If you think about the last project, our speed to move as fast as we could, we didn't even have full FEED studies on those particulars. So I think the planning process, the reduction in actual construction labor time is going to be helpful in this as well.
Vincent Andrews: Okay. And just as a follow-up on the 40% versus 75%. I mean, it sounds like you're very confident in terms of the demand outlook and so forth. So I'm just curious why -- what's going to drive the delta for you between the 40% and 75%? I mean, in one case, you have complete control over the project. In the other case, you don't. So what makes it in your best interest to bring it down to 40% versus just going out at 75%?
Tony Will: Yeah. I think to be perfectly honest, whether it's with one partner or two, and we have received very strong degree of confidence that it's going to be both partners. And because we have been on this journey for such a long time, we've made a commitment to them that they're in if they want to be in. And so -- but you're not over the finish line until everyone signs on the dotted line and you make an announcement, but that's the difference. And at the end of the day, Vincent, part of what we're trying to do with this first plant is to help spur development of new applications for clean ammonia, because we think that's just good for our business in general, good for the world from an environment standpoint. And having more people involved that are going to be direct to consumers and take this all the way to its final use, it’s I think, good in helping develop this marketplace. And so we're doing a little, I would call primary demand stimulation by having these people participate with us.
Vincent Andrews: Okay. Thank you very much.
Operator: The next question comes from Edlain Rodriguez with Mizuho. Please go ahead.
Edlain Rodriguez: Thank you. Good morning, everyone. Quick one for me. I think earlier, Bert, you talked about the positive drivers for the nitrogen market. Like do you see any risk at all that could have an impact on supply demand and prices? Like any concerns whatsoever that we should be thinking of?
Bert Frost: Thanks for the question, Edlain. And I always look at the risks. And I always probably pay to -- I'm probably a nitrogen nerd when it comes to following the global markets and the users, suppliers, consumers and where that's going to go and how it's going to go. And we modeled that out on a continual basis with what's going on in the world and feathering in the geopolitical impacts. And so where we are on the drivers, it is a strict supply and demand market today as we're quickly approaching the Northern Hemisphere demand, we believe Europe is undersupplied or the Northern Hemisphere over there. And we believe North America in the United States is undersupplied with the positive dynamic of the nitrogen consuming crops, not only prices increasing, which is profitability to the farmer, which is then willingness to further utilize nitrogen capabilities for crop yields, you have that dynamic that maybe a couple of years with the stock use ratios that we talked about earlier on corn. And so there are always risks on the up and down side, where I'd say on the supply side with potential outages due to gas or geopolitical issues that we've seen in Ukraine or just limits or -- and then it's economic. Do customers purchase at the right time, have it right place when it's needed and are there spot differentials that take place. And we believe that will happen in the United States with the different -- the normal differentials to NOLA to the Midwest to Canada have already expanded and may expand even more. So we do see a positive first half. And as Tony said, earlier in the second half, we'll cross that bridge when we come to it.
Edlain Rodriguez: Yes. Thank you very much.
Operator: The next question comes from Jeff Zekauskas with JPMorgan. Please go ahead.
Jeff Zekauskas: Thanks very much. Still a little puzzled about the sequestration of carbon dioxide from Donaldsonville, I don't think any bundy has been granted a Class 6 permit to sequester carbon dioxide. And even if you are granted a Class 6 permit, then you have to build the well. So how is it that you can sequester carbon dioxide sometime in 2025 or by sequester, do you mean enhanced oil recovery?
Chris Bohn: Hey, Jeff, this is Chris. I think in both instances, it's not as if they're things that are not moving in parallel. You are correct, there would take some time for the well piece to be implemented. However, most of the pipeline work towards the areas where we're looking to sequester, given some of the acquisition work that Exxon has done. We believe that we will be able to. I think EOR is always an opportunity. However, our agreement is for Class 6 permitted wells. So one of the reasons we went with Exxon is our confidence in the work that they've done not only at the sequestration points that they have listed themselves but some of the partnerships that they're looking at as well. So we still feel confident that second half of the year, we will be sequestering CO2 from the Donaldsonville project.
Jeff Zekauskas: Okay. And then as a second question, the value of CF Industries goes up and down. I guess, more recently, it's come in. And it seems to be because people believe that the probability of there being a resolution in Ukraine is higher. When you think over a longer period of time, and you think about what the gas price in Europe might be or what nitrogen production in Russia might be. Is it the case that for North American companies sort of a more peaceful globe is negative for profits and profitability over a longer period of time? Or do you think that it really doesn't matter and the market has it grown?
Chris Bohn: Yes. Well, I would start with the fact that, as Bert mentioned, product is getting out. If you even look at what your Russian urea exports for this past year in 2024, they were up over 1 million tons from the prior year. So over 9 million tons were being exported. So similar to the Iran sanctions, product is moving globally. It's just moving to different locations and maybe at lower margins for those particular producers in that area. As far as the European gas movement, if you look at Russia's gas prewar and where they exist today, gas is still flowing into Europe via pipeline, about 4 Bcf per day. And it's mainly going to those particular countries that are willing to take Russian gas post the resolution or even pre the resolution that would happen. I think the availability of gas, the actual volume quantity has been sell by Europe, and it's been pretty remarkable how quickly they were able to do that through LNG imports from the US and from the Middle East as well. So while we do see maybe some contraction that may happen with TTF as if a cease-fire were to be announced, there's still that spread there. And then I think you're talking about the timing in which that would occur. These plants, as Bert mentioned, you have 25% of the ammonia production down already. I think what we've seen is continually as these turnarounds come up where you have $50 million maintenance decisions to make. Our expectation is that the plants that are down will not start back up and other plants will continue to come down. So even post the resolution, you're still going to have that short that we show in our earnings slides in Europe for ammonia that's going to have to be sourced from other places around the globe.
Bert Frost: Yes. Jeff, this is Bert. And further comments to that is what Tony said earlier is the principal position of we want peace everywhere. We -- there is no need to have a war, and there's no need to be fighting over some of the things that are being fought over. That's the tragedy. But moving forward and the Russian tons are making their way out to the market. They're fully supplied, whether that's urea, UAN. The limit has been ammonia, which Chris referenced, even if there's pieces declared, ammonia is not going to be loaded out of use anytime soon. And maybe that's Tayman, maybe that's the Baltic ports of Ust-Luga okay. So that can happen. Maybe the Ukrainian tons come back up, but they weren't that big of a supplier to the world. But you have to take a step back and remember, this is a global market of 200 million tons of products that's produced and demanded every year. And we've had gas limitations in Europe, gas limitations in Trinidad, Egypt, Iran, and we've had product export limitations China. So there are different places in the world where this is, again, back to the puts and takes to how we get to the markets that we get to. And it's not necessarily determinant by one company or a country being sanctioned or inability to move. And again, that's where I think the benefit of CF and our global look, global reach and team and how we're able to execute against these continued changes.
Tony Will: I would echo kind of both those things, and in particular, what Chris said about once the European plants have been offline and curtailed for a period of time, they're not coming back. I mean, we had two manufacturing facilities, two ammonia plants in the UK. And we talked long and hard about whether it was worth kind of the option value of being able to bring them back online if gas costs in the UK came down. And our conclusion was the cost of doing that was fairly high to maintain their ability to be brought back. And even so the plan would still be operating on the third or fourth quartile as opposed to deploying capital in the US, where we've got first quartile kind of cost structure, and that was one of the reasons we went kind of down the road of wage in and closing the U.K. ammonia plants. And so I think again, it's where your plants are located, and I'm really happy with where ours are. And on the volatility of our share price, I mean, yes, it is unreasonably volatile for all kinds of reasons that I don't pretend to understand. But what that does is it gives us the opportunity to be very opportunistic on our share repurchases. And as Greg mentioned earlier, coming into this year, we had a little over $1 billion to spend. And at that time, it was 7%. The way the volatility is when we disproportionately buy on the dips, we can probably do well better than that. So it really does benefit our long-term shareholders that there is that volatility because it allows us to opportunistically take shares from people that don't see the fundamentals and the value the way that we do.
Jeff Zekauskas: Thank you so much.
Operator: The next question comes from Aron Ceccarelli with Berenberg. Please go ahead.
Aron Ceccarelli: Hello. Thanks for taking my question. I have one on Blue Point and you clearly mentioned strong interest in the asset. And I remember the 1.4 million tons was the plant with JERA. And incremental to that was a valuation for another plant of at least 1 million tons with Mitsui. So maybe can you help me understand the announcement you made yesterday. Does it include potentially Mitsui as well and therefore, you are not going to go ahead with the second plant? How do I relate this considering the comments you made on really strong demand. Is it just a risk management approach where you want to start maybe a little bit smaller? How can I think about that? Thank you.
Tony Will : Yes. So the -- we're thinking about or you're thinking about two different plants. The first plant that we began to do the analysis around that we had announced in conjunction that we were evaluating it with Mitsui was a conventional steam methane reformer SMR plant, very similar to our Donaldsonville number 6 plant. And that's a bit of a smaller plant compared to the ATR, the auto thermal reformer that Chris talked about today, and Greg talked about today. And so we were evaluating two different technologies. And in between those two technologies, we also brought -- Mitsui is still part of the evaluation process and part of the partnership, but JERA has also joined as well. And so what we've done is we've gone from at the time what was one partner looking an SMR of a little over 1 million tons or $1.2 million to two partners looking at an auto thermal reformer of 1.4 million. So the SMR, the kind of the smaller, more conventional plant is not being actively considered at this time. It is really the auto thermal that we're focused on, and that's with both JERA and Mitsui's potential partners.
Aron Ceccarelli: Thank you very much.
Operator: Ladies and gentlemen, that is all the time we have for questions for today. I would like to turn the call back to Martin Jarosick for closing remarks.
Martin Jarosick: Thanks, everyone, for joining us, and we look forward to seeing you at upcoming conferences.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.